Operator: Good day and thank you for standing by. Welcome to Karora Resources first quarter 2021 conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Paul Huet, Chairman and CEO. Thank you. Please go ahead.
Paul Huet: Thank you operator. Good morning and welcome to the Karora Resources first quarter conference call. I am happy to announce that I have made the move to Australia. I am thrilled to be here in our Perth office alongside Graeme Sloan, Managing Director of our Australian operations. Other members of the Karora executive management team speaking on the call today in addition to me and Graeme are Barry Dahl, Chief Financial Officer and Oliver Turner, Executive Vice President of Corporate Development. Please feel free to follow along with the slide on the Karora website. This morning, we issued a news release outlining our solid results for the first quarter of 2021. There were no surprises and we delivered according to our plan. Our MD&A and financial statements for the period ended March 31, 2021 have been filed, all of which are available on the Karora website and under Karora's profile on SEDAR. Before I get into the presentation, I just want to remind people, please review our cautionary statement regarding forward-looking information and non-IFRS measures, which can be found in our management discussion and analysis, news release and on our presentation slides. Thanks all of you that have taken the time to join us for our call today. Now that I am on the ground of Perth, I am thrilled to report, I have just returned from a four-day site visit of our operations. I must say I was very impressed with the enthusiasm of our employees and the improvements I saw at all the operations since my last visit, especially considering the added pressures that we are all facing resulting from COVID. Admittedly, I am particularly pleased at the focus from two general managers, Don Harper and Phillip Rickson for their attention and efforts to safety. With so many things going on at each of our operation, it is easy for safety to get overlooked and I can gladly report, this is not the case. Our GMs are extremely focused in this area. This is a value the cascades down throughout our organization starting from the support at the Board. From an operations perspective, I am also happy to report that our previously announced Phase I mill expansion is actually ahead of schedule and we have already achieved a run rate of 1.5 million tons per year. That is an extra 100,000 tons per year from the debottlenecking exercises that we have been doing. We are already halfway through our target of increasing the mill by 550 tons per day. There is no doubt, you will be enjoying the benefits of the additional mill feed in the second half of the year. The full Phase I expansion, once complete, will represent a 15% increase in capacity from 1.4 million tons to 1.6 million tons per year. This expansion aligns quite well with the new ore sources we have to fill the extra capacity in the second half of the year. I was also able to finally visit Spargos since acquiring it in 2020. Our high-grade open pit is progressing as planned. There are several contractors on the ground. There is certainly a lot of activity preparing the site for us to mine. We expect to have completed all the pre-strip and file a permit allowing us to get ore into the plant in the third quarter of 2021, again aligning with the mill upgrade. Lastly, at Higginsville, I was pleased to spend time at Two Boys underground and I also visited Aquarius. Our new mine superintendent, Phil Botha, has a great handle on reopening these operations and we look forward to receiving tons from both these sources later in the year as well. Over to Beta Hunt. On the heels of reporting some very strong drill results, including the high-grade Larkin gold zone, the high-grade 30C nickel discovery and some very high grade intercepts at the 50C nickel discovery, I was able to spend a full day at the operations and underground with Robert Walker and several others. It was certainly exciting to finally see the newly discovered Larkin zone with my own eyes. I am happy to report that the infrastructure required is being finalized with the newly constructed ventilation raise and there was also a core drill turning while we were there. You can all expect some more information about the Larkin in the next coming quarters. As always, Graeme will dive into the operations in much more detail. I was simply so excited after returning from the operations that I felt it was necessary to steal some of this thunder and share with people what I was able to see firsthand. We certainly have some extremely busy and exciting times for our shareholders. As many of you will recall, our 2021 production guidance range of 105,000 to 115,000 ounces is approximately a 20% increase compared to last year's guidance. It is important to understand the increase in production this year is aligned with the increase in mill throughput and addition of new mining areas. As such, production is more weighted to the second half of the year. With respect to the first quarter, I want summarize a few highlights or bullets. For Q1, we delivered another steady production result of approximately 25,000 gold ounces and sold approximately 26,000 ounces, which was in line with our guidance and our budget and plan. We had a consolidated all-in sustaining cost of $1,049 per ounce sold. This again was aligned with our full year 2021 guided range of $985 to $1,085 per ounce U.S. This is quite similar like what we delivered in 2020 with respect to cost being reduced quarter-by-quarter with one huge exception. We are starting 2021 much lower than Q1 of 2020. Actually, based off memory, I believe our all-in sustaining cost was approximately $1,200 per ounce in the first quarter of 2020. We are already to $1,049. So we continue to strive and focus at ensuring our margins are an extremely important part of our business. Our Q1 EBITDA was AUD21 million or AUD0.15 per share. And adjusted earnings were AUD8 million or per share metric it was AUD0.06 per share. We made the final royalty payment of $2.5 million using cash to the Maverix Metals company during the first quarter as part of the Beta Hunt royalty buyback. I am actually very thrilled that this is finally behind us once and for all. Our cash position remains strong with AUD77 million at the end of Q1, slightly lower than the year-end 2020. The small decrease in cash was primarily due to the timing of planned investment in growing the business. Our 2021 capital plan includes significant investments in the first half of the year, including new trucks and other equipment as we prepare to bring new mining areas in the second half of the year. Our continued ability to generate cash is demonstrated by our operating cash flow of AUD19 million or AUD0.13 per share, despite planned lower grades and our working capital increase by over AUD6 million to AUD63 million. Actually, it's not that distant of a memory for me when I recall doing one of these quarterly calls and the working capital of our company was a whopping negative AUD8.7 million. Times have certainly improved for our company. Beyond accelerating production growth in the second half of the year, one of the many reasons I have relocated to Western Australia is to directly support our plans to deliver a multiyear growth plan alongside Graeme and our projects team. We are excited about where our organic growth potential can take us over the next few years and I am looking forward to delivering the plan to the market in the very near term. Before turning the call over to Graeme, I wanted to take a moment and recognize and thank all our people, both employees and contractors from mine site for working so safely. I was privileged to have met many amazing people at our operations. To each of you, thank you for your tireless effort and continued sacrifices. We are truly blessed by an amazing team at our operations. At this point, I will turn the call over to Graeme to outline the first quarter operating performance. Over to you, Graeme.
Graeme Sloan: Thank you Paul. Our first quarter for 2021 was another solid production and cost performance and importantly we were able to advance a number of key capital projects at Higginsville Central and our Higginsville mill. As always, the health and safety of our personnel is up top priority and I am pleased to report we have a total of 739 loss time incident free days at Higginsville and 261 days at Beta Hunt. This is a great achievement and a testament to the hard work of our general managers and their respective teams. We have also undertaken a number of key safety initiatives to continue the strong focus on safety. These include the continued employment of a full-time nurse, upgraded medical facilities at both sites, including a new medical center at Beta Hunt, upgraded our emergency response time equipment and training and the establishment of a number of mutualized agreements with neighboring mining companies. So a great deal of good work undertaken, which is reflected in the results. From an environmental perspective, there was reportable incidents for the quarter and multiple project approvals submitted and received from the relevant authorities. Overall, I am very proud of the level of commitment to safety and the environment shown by our respective teams to all areas of our business. We go to slide nine, operational highlights, Higginsville. On a consolidated basis for Q1, we processed 371,000 tons for just under 25,000 ounces of gold. As Paul mentioned earlier, our debottlenecking efforts and the expansion at the mills are already paying dividends with throughput rates reaching to 1.5 million tons per annum. This is, as he said, ahead of schedule and further improvements are expected to take us to 1.6 million tons in the coming months. Even with the higher mill throughputs, recoveries averaged a consistent 93% for the quarter, demonstrating our ability to blend material from multiple resources whilst maintaining throughput in recoveries. Mill availability excited 95%. So we have really been firing on all cylinders, reflecting an excellent effort by our Higginsville General Manager, Don Harper, the mill manager Dennis Arne and their our operational team. With additional mill sites coming from Beta Hunt, we were also able to fast-track a number of predevelopment activities at Higginsville and treat some of their lower grade stockpile. This resulted in a total of 138,000 tons milled from Higginsville for the quarter at an average grade of 1.6 grams per ton, 17% lower than quarter four in 2020. This will be rectified in the coming months with mine production to progressively ramp-up from our Spargos and new underground areas. Mining at Higginsville open pits largely focused on pre-strip activities, yet we were able to mine around 140,000 tons from Hidden Secret and a further 20,000 tons from Baloo. Apart from the obvious gold content, this material also provides critical blending flexibility for our mill and supports their recovery rates and optimal crushing and grinding performance. Slide seven, operational highlights, Beta Hunt. For Q1, Beta Hunt contributed 63% or 233,000 tons of the total tons milled for the quarter, resulting in just under 19,000 ounces of gold. Beta Hunt underground mine production continues to improve with average monthly rate of 70,000 to 75,000 tons mining compared to the 60,000 to 65,000 in the second half of 2020, an increase of approximately 15%. The improvement mainly associated with the upgrade to the mining fleet and improved production techniques in the stopes. To slide eight, exploration highlights. During the quarter, we continued drilling activities at both Beta Hunt and Higginsville with over 40,000 meters drilled across operations. Our exploration budget for 2021 is a very healthy AUD20 million, split roughly 50-50 between greenfield exploration and resource development. As with most mining companies here in Western Australia, assay turnaround is a challenge owing to the industry-wide shortage of laboratory treat capacity and lab personnel. We need to ensure we don't use COVID as a catchall but in this instance we can lay the lab and labor issues directly at the fate of COVID and border restrictions. We are hopeful this situation may improve in the latter part of 2021. At Higginsville, we completed over 30,000 meters of drilling with up to four rigs drilling at any one time. Key milestones include the completion of Stage I scout aircore drilling at Lake Cowan where we previously reported an intersection of 1.35 grams per ton over 50 meters. This is an excellent result, as under normal circumstances anything greater than 20 parts per billion is considered significant. Follow-up drilling is aimed for later in the year. Our resource definition drill program continues to focus on near mine targets within Higginsville Central and close to the Higginsville plant. Targets include Aquarius and the Two Boys deposits. At Spargos, we have previously reported a number of very high grade intercepts including 29.8 grams per ton over 19 meters and 27.3 grams per ton over 15 meters. In March, we reported an intersection of 6.1 grams over 14 meters. And although a little lower in grade, is seen as extremely important as it supports the down plunge interpretation of a high grade shoot which now extend for over 300 meters. This shoot remains open at depth and highlights the potential for future underground mining operations. Overall, plenty of good news from drilling at Higginsville and Spargos and we look forward to providing further updates, as assays are received. And slide nine, exploration highlights at Beta Hunt. At Beta Hunt drilling continues to focus on upgrading and extending the up-plunge potential of the A Zone and the new Larkin Gold Zone. Both areas are shaping up very nicely and are expected to be incorporated in our 2021 mineral resource updates later this year. And nickel exploration is also in full swing. And last year, we reported our first nickel discovery in 13 years with the announcement of the high grade 30C target. Last month, we also announced another new discovery 50C, which included an intercept of 11.6% nickel over 4.6 meters. You see this on slide nine. As with 30C and Larkin, the 50C is within close proximity to existing mine development reflecting the enormous advantage we have at Beta Hunt given the extensive network of underground development already in place. These discoveries clearly demonstrate the strong upside potential for nickel, which as you know, is a meaningful byproduct credit to our growing gold production profile. So in conclusion, let me leave you with this. We have now extended the Beta Hunt gold system to over 3.5 kilometers in strike length. We are the nickel potential and be rest assured we have a very special mine. I will now turn over to Barry Dahl.
Barry Dahl: Thank you Graeme. I will now provide a few financial highlights for the first quarter. Please turn to slide 11, financial highlights. First quarter revenue was AUD59 million, up AUD5 million or 9% compared to the first quarter of 2020. The year-over-year increase in revenue was due to a combination of higher gold ounces sold and higher realized prices. First quarter net earnings were AUD5.6 million, compared to AUD0.5 million in the first quarter of 2020. First quarter net earnings were negatively impacted by non-cash unrealized foreign exchange lot of AUD4.6 million or AUD0.03 per share. First quarter adjusted earnings were AUD8.1 million or AUD0.06 per share after non-cash adjustments related mainly to the unrealized intercompany foreign exchange loss and other non-cash items. First quarter cash operating costs were $952 per ounce. And ASIC costs were well within our guided range at $1,049 per ounce. The cash balance of the end of the first quarter was very healthy at AUD76.7 million, down slightly from AUD79.7 million at December 31. During Q1 we paid $2.5 million at the final payment the Maverix related to the royalty buyback agreement entered last year and a AUD5.3 million reduction in accounts payable and accrued liabilities. Working capital was AUD 63.2 million at the end of the first, up AUD6.4 million compared to AUD56.8 million at December 31. I will now turn the call over to Oliver.
Oliver Turner: Thanks Barry and hello everyone. In the short time since our last quarterly call, we have been very active on multiple fronts. Our engagement with SIX media has resulted in strengthened retail presence and engagement across all media platforms while continued virtual marketing and conference attendance were key drivers behind the strong outperformance of our shares versus our peers during the month of April and into May. In fact, we have been one of the strongest stories from a quant analytics perspective since the last quarterly call, a strong show of support from our institution. Near term catalyst coming up this year include our multiyear growth plan, which we intend to release to the market during the current quarter. Of course, we also plan to deliver drilling results from across our properties to the market on a regular basis as assays are returned to us on from the labs, as Graeme previously mentioned. At Spargos, we expect to announce an updated resource estimate providing a higher level of confidence for the startup of mining operations expected at the beginning of the third quarter. From this new estimate, we plan to step up further with the drill bit with the target of further ounce additions and grade improvements. It is a very exciting project. Last and certainly not least, pending TSX approval, we will be renewing our NCIB program in order to provide us with the flexibility to repurchase shares in the open market as opportunities arise. As always, we have a thorough capital deployment review process and with our upcoming growth plan, we have a very high return use of our growing cash balance. NCIB purchases compete with those capital uses and thus we carefully evaluate each repurchase decision before executing. During 2020 and early 2021, we knew strategically to repurchase shares to reduce the net cost of the Ramelius royalty buyback which was executed to great success. We will watch carefully for similar opportunities to executor our NCIB as 2021 progresses. And with that, I will turn back over to Paul.
Paul Huet: Thanks Oliver. And thank you again to everyone for joining us today. We realize and understand how busy people are and taking the time to look into our call is greatly appreciated. We had a fantastic transformational year in 2020 and are certainly excited by what we have ahead of us in 2021. We look forward to reporting our progress as we move the business forward. Thank you and have a great day and we will turn it over to the operator for some questions.
Operator: [Operator Instructions]. And your first question comes from Tom Gallo with Canaccord Genuity.
Tom Gallo: Thanks everybody for taking my question. First one here is for Paul. Now that you are firmly on the ground in Australia through the quarantine process, it sounds like you have had your hands on the operation here for a little bit. If you could just kind of give us a little bit more of an understanding of what your next priorities are going to be in your sort of new location?
Paul Huet: Yes. Thanks Tom. Look, as I just mentioned, I just got to spend quite a bit of time underground here at all our operations. And our priorities are really going to be what we laid out. Finishing the project that we have, getting that second phase mill one expansion done, sorry, getting the projects online. We have got several projects coming on at the same time. And then more importantly, Tom, getting that growth plan out to the market. We been working very hard with a lot of consultants around the clock who we have been working, some in North America and on this time zone trying to make sure we get that completed with consultants. So getting that growth pan to the market is very critical, not only for us but for market. So we have got a pretty busy, busy road in front of ourselves. And it's actually really exciting to be here on the ground in the middle of all the action, Tom. So hopefully that answers your question.
Tom Gallo: Yes. I know it's good to hear, just obviously you guys are laser focused on that growth plan. Just a second question here from me more just sort of some housekeeping stuff with the modeling. We saw all-in sustaining costs go up quarter-over-quarter. We kind of knew that was coming obviously well within the range of $1,050 an ounce. Should we expect to see that level sort of staying going forward? And then maybe can you explain a little bit more? I think we touched on it last quarter why you guys were kind of so low. So maybe just sort of reiterate to me so I can recall just on where that 15% increase came from and sort of what we should expect here from an ASIC basis going forward?
Paul Huet: Yes. Okay. Tom I will start but then I will hand it over to Graeme here. It's Paul again. It was certainly budgeted that way and part of our plan. That's why we had that range. We certainly had planned that because we know we are going to have different grade, more projects and increase in mill. But I will let Graeme go ahead and answer that one for Tom, please.
Graeme Sloan: So Tom, as Paul said, this increase was budgeted. So it wasn't a surprise. Secondly, the gold sales in quarter four was up sort around 10% on quarter one which obviously directly fades into our all-in sustaining costs. And at Higginsville, in quarter one, we have been undertaking quite a bit of development on our next generation mining trucks, Two Boys, Aquarius and Spargos. So not a big production quarter from Higginsville. And at the same time is that when we were able to feed in a higher grade or sort more of the Beta Hunt feed, it allowed us with the increase in mill throughput allowed us to actually treat some of our lower grade stockpile. So that combination of lower grade stockpile, the fact that we were able to have lower grades, lower gold sales in there combined to give you that to slightly higher, but within guidance and within our budget all-in sustaining costs.
Tom Gallo: Okay. Great. Thanks. That's very helpful. That's it for me. Thanks a lot.
Paul Huet: Thanks Tom.
Operator: And your next question comes from the line of Ian Parkinson with Stifel GMP.
Ian Parkinson: Yes. Good morning everybody. Hope you all continue to stay safe. Just a question on the grade profile, gents. So the grade drop in the quarter is materially less than the way you finished the year and in Q4 it was obviously quite solid. But can you explain to me why the decrease? Was it expected? Is this the model predicted? Just give me some color on that, please?
Paul Huet: Yes. Thanks for the question, Ian. Graeme, you want to go ahead and answer that one please?
Graeme Sloan: Absolutely. Look, Ian, again it's we like to take advantage of the really good work that's been done in and around the treatment plant. We had that extra capacity come through earlier than what we planned. So what we did, we plugged that hole, not hole, that additional capacity and we took the opportunity to treat some of their lower grade stockpile. So overall, the average grade came down, the gold production went up. And so it's pretty much a controlled on the grade profile. So as I said, most of this is planned. We see it coming. We take an opportunity. And look in the future, if we see over and above what our own mill can do, we will probably fill that hole too with some of our stockpile material.
Paul Huet: And I just want to add, Ian, sorry, that it was certainly aligned, every where we are mining is reconciling very, very strong with our model, within actually some of the greatest numbers that I have seen. I have seen less than 5% pollution here. So our model is reconciling very, very tight with the areas that we are mining. So I just wanted to add that as well to Graeme's response, Ian.
Ian Parkinson: Yes. Understood. I mean grade's just one factor in margin, right. But as far as a trend, would you expect the trend to increase over the course of the remainder of 2021 for grade?
Paul Huet: Go ahead, Graeme.
Graeme Sloan: Sorry, Paul. With earlier grades of budget to, as we have bring these over mining center zone around Spargos for that, we are back-ended as far as our production profile based around the grades. So to achieve what we have in the first quarter above budget has been a good outcome for us and we expect to see that trend continues throughout the year.
Ian Parkinson: Okay. Thank you. And sorry, I apologize if you have already answered this because I had some trouble dialing into the call. But on the Spargos resource update, what's the timing on that?
Paul Huet: Go ahead, Graeme.
Graeme Sloan: Yes. Just on the Spargos, we will target the end of quarter two for Spargos. We still got a little bit of work to do around some of the modeling and just the final touches to it. And then sort of that will come out at end of quarter two and then we will look to do the remaining resources as we would normally at somewhere around quarter four.
Ian Parkinson: Okay. And just one more quick one for me. Just the rest of the project. I know you guys have a lot of balls in the year. Other projects that you are working on, can you just to remind you that the schedule or the timing of those, that additional work, just so I can lay out what to expect for 2021 and early 2022?
Paul Huet: Go ahead, Graeme.
Graeme Sloan: Yes. Just to clarify that, the other projects, do you mean the mining projects we are talking about?
Ian Parkinson: Yes. Mining projects. Just you have more boots on the ground, as we know?
Paul Huet: Just Two Boys, Aquarius and the mill expansion.
Graeme Sloan: Yes. Certainly, most of those will start to take shape around quarter three, in quarter three and then start to build as we get into quarter four. As you can imagine, certainly at Aquarius, it's a new project. So there is a normal pre-development activity. So it doesn't put a lot of ounces onto the deck. But as we move into the latter part of the year, we should start seeing the higher grade material come through and the tons. At Spargos, again, quarter three we should say that. As Paul mentioned, we should see that the open pit kickoff and that will be a nice addition coming into the plan. And Two Boys, again, is around that quarter three. So quarter two was always scheduled that way and budgeted that way, sort of a quarter that was a lot development was going to take place. And we should start seeing quarter three and quarter four when production goes up and cost start to come down into the he lower level. So that's the grade mining as we re planning and then around exploration, we will continue exploration work through.
Ian Parkinson: Excellent. Well, thank you for answering these questions. And stay safe, everybody.
Paul Huet: Thank you.
Operator: And your next question comes from Nicolas Dion with Cormark Securities.
Nicolas Dion: Hi everyone. Congrats on another of solid quarter. The earnings and cash flow from operations were quite strong, but the free cash flow was the bit lighter due to your growth CapEx spend in the quarter. So just wondering if you could elaborate on some of the investments in growth you made in the quarter as well as any other drivers beyond that which impacted your cash? Thanks.
Paul Huet: Yes. Actually, Oliver, do you want to answer that one?
Oliver Turner: Yes, for sure. So thanks for the question, Nick. There is several things in the first quarter. As we stated previously, we were adding two new underground trucks mining fleet, which were outstandingly successful at Beta Hunt last year in 2020 that drove marked productivity improvements. So we added another one of those in the first quarter. It's engaged now, which is excellent. We have the $2.5 million payment to Maverix. That's the second half of the payment from the deal last year that is now finalized and complete. And then of course, as Graeme mentioned, we have done a lot of work around mobilizing these new higher grade opportunities, both at Higginsville and at Spargos. So you will see in the capital investment line, we have put a lot of money back into PP&E and into our projects. So it was a planned heavier capital quarter. Nevertheless, we obviously still generated some free cash flow, as you noted. So setting us ourselves up very well for the rest of the year as these higher grade projects come online. So we will see continued improvement quarter-over-quarter as we progress through the year.
Nicolas Dion: Okay. Thanks. And then I guess, it is fair to say that the CapEx spend this year will be more first half weighted?
Oliver Turner: Yes. Absolutely. That's absolutely correct.
Nicolas Dion: Okay. And then moving, I guess, just finally on your debt balance. You mentioned previously a potential to refinance that. So I was just wondering if there was any updates there?
Paul Huet: Yes. So I will take that one. With respect to the debt, as a reminder, we got the debt when we bought the Higginsville mill. We didn't want to issue more equity and we believe we could always repay the debt which we are very comfortable that was a great decision to do. At the time, we paid 10%. Now that the company has evolved and we are in production, we have a lot more different opportunities with respect to refinancing that debt at a much lower coupon. We are currently in the process of finalizing our growth plan that we have been talking about. We are using that bankers to show a growth plan and explore some term sheets with several groups, several, we signed with four different groups and we are evaluating terms to refinance that debt at a much, much lower rate than what we have today. So stay tuned. We will continue to update. The growth plan will come out. And then we are going to get back to the bankers and we will be refinancing that debt this year.
Nicolas Dion: Okay. Great. Thanks. That's it for me.
Paul Huet: Thank you.
Operator: And your next question comes from David Talbot with Red Cloud.
David Talbot: Good morning gentlemen. Congrats on the good quarter. No surprises when giving us even more to look forward to. I guess on that note, what is your expected timing to update the market on your organic growth plan? And what should we really expect from that?
Paul Huet: Yes. So thanks for the question. As we were talking about, our objective is to get that organic growth plan by the end of Q2. I don't know if you heard me say a little earlier, we have been working actually round on the clock with groups in North America and groups on this time zone to make sure that we get it out on time. It's more important that get it right. Just like everyone else, we have been struggling with some consultants and trying to get contractors to work. But it's getting done. We are close to the finish line now and expect something by the end of Q2 for that organic growth plan.
David Talbot: Yes. I guess struggling with the consultants, is that more of an availability issue or is that a COVID restriction issue?
Paul Huet: Yes. Sorry, maybe struggling is the wrong word. Maybe I should choose my words carefully. It's not really struggling. There are some COVID restriction. There is just a lack thereof. So maybe it's not struggling. There is just not as, we went through a big process to determine which group we would use. That took us quite a while and having the right consultants in availability to do all the work alongside us was challenging. Struggling might have been too harsh of a word, I guess. But again, I certainly am happy to see that we are getting close to the finish line now and looking towards the end of this quarter, we will have something out.
David Talbot: Okay. Fair enough. You always mentioned that that's coming out in the second quarter. So you are relatively on track.
Paul Huet: Yes.
David Talbot: Okay. And then second question here. Can you update us on new plans for your Australian listing? And what your objectives are behind that reasoning?
Paul Huet: Yes. So with respect to the Australian listing, we always had a lot of demand. We have always had interest from numerous groups in Australia asking us to get a listing. Now we are going to seeking that evaluating that the decision. It's not final yet. But it's certainly something we are looking at closely with the Board. And I guess, the only way to say it is, there is a tremendous amount of demand for us to get that, considering all our assets are currently in Australia. So that's just about the best I can give you on that right now.
David Talbot: Do you have sense if that's retail demand or institutional?
Paul Huet: No. Actually, I do have a sense. Thanks for asking. It certainly institutional. We are getting inbounds. Look, there are these superannuation funds in Australia that have to invest in Australia. There are certainly quite a few funds and there are institutions that have expressed significant interest with our company.
David Talbot: Great. Okay. Thank you very much.
Paul Huet: Thank you.
Operator: And we have no further questions. I will now turn to call back to Paul Huet.
Paul Huet: Look, I just want to once again reiterate, thank you for taking the time to join us with your call. We recognize just how busy people's calendars are and their schedules. And I want to wish everyone a great day and thank you for supporting us. Have a great day. We will talk soon. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.